Operator: Thank you for standing by, ladies and gentlemen, and welcome to the Tsakos Energy Navigation Conference Call on the First Half and Second Quarter 2017 Financial Results. We have with us Mr. Takis Arapoglou, Chairman of the Board; Mr. Nikolas Tsakos, President and CEO; Mr. Paul Durham, Chief Financial Officer; and Mr. George Saroglou, Chief Operating Officer of the Company. At this time, all participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session. [Operator Instructions] I must advise you that this conference is being recorded today. And now, I pass the floor to Mr. Nicolas Bornozis, President of Capital Link, Investor Relations Advisor of Tsakos Energy Navigation. Please go ahead, sir.
Nicolas Bornozis: [Technical Difficulty] Please note that prior to today’s conference call, there is also a live audio and slide webcast, which can be accessed on the Company’s website on the front page at www.tenn.gr. The conference call will follow the presentation slides. So, please, we urge you to access our presentation and webcast. Please note that the slides of the webcast will be available as an archive on the Company’s website after the conference call. Also please note that the slides of the webcast presentation are user-controlled, and that means that by clicking on the proper button, you can move to the next or to the previous slide on your own. At this time, I would like to read the Safe Harbor Statement. This conference call and slide presentation of the webcast contain certain forward-looking statements within the meaning of the Safe Harbor provision of the Private Securities Litigation Reform Act of 1995. Investors are cautioned that such forward-looking statements involve risks and uncertainties, which may affect TEN’s business prospects and results of operations. Such risks are more fully disclosed in TEN’s filings with the Securities and Exchange Commission. Ladies and gentlemen, at this point, I would like to over the call to Mr. Takis Arapoglou, the Chairman of the Board of Tsakos Energy Navigation. Mr. Arapoglou, please go ahead, sir.
Takis Arapoglou: Thank you, Nicolas. Hello and good morning to everyone. TEN continued its steady and profitable path through challenging markets. Our strategy for nearly two years now to gradually lock in the majority of our fleet into accretive time charters together with profit sharing arrangements is protecting us against weaker markets and will allow us to benefit from any potential recovery. In addition, with the largest ever fleet expansion program for TEN now virtually complete, we’re in a superior position to capture a much larger size of any recovery. In this environment, we continue to focus on efficiencies, resulting in further reducing operating expenses, increasing fleet utilization and continue to increase our list of blue-chip customers. Once again, congratulations to management for navigating TEN so successfully in challenging times, ready to capture opportunities going forward. Thank you. That’s it for me and over to you, George.
George Saroglou: Thank you very much, Mr. Chairman. The Company reported today another profitable quarter and half year results. TEN embarked since last year in the biggest fleet expansion program of its history with 15 new building vessels in total. Eight vessels were delivered last year. Since the start of 2017, TEN took delivery of six vessels with one more expected in the last quarter of this year. All 15 ordered vessels had medium to long-term employment attached to first-class charterers, ranging from minimum 2 to maximum 12 years. For those of you who are connected to the internet and our website, there is an online slide presentation whose format we will follow during the call. Let’s turn to slide number three. Turning to slide number three with the key corporate facts and highlights. We have a fleet of 65 vessels pro forma, 64 currently in operation and 25 vessels have ice-class capability. The average age of the fleet is 7.6 years versus 10.1 years for the world tanker fleet. We have -- the company with the balance fleet employment strategy that takes advantage of market peaks with profit sharing arrangements. We initiated another strategic relationships with a major end user for the employment of crude tankers. We have placed 22 new long time charters since the start of the year and currently have 48 vessels in a 64-vessel operating fleet or 49, if we take the full pro forma fleet on secured employment with an average time charter tenure of 2.5 years. We have minimum contracted secured revenue of $1.4 billion with potential additional revenues from profit sharing arrangements. We have built a modern, diversified fleet covering clients’ transportation requirements in crude, products, shuttle and LNG, and we have become the carrier of choice of the top oil majors, commodity traders and refiners. We have very high efficiency with consistent, very high fleet utilization, approximately 97% for the first half of 2017. We have built through the years a strong operating tanker company with a very healthy financial position, excellent banking relationships and we have performed extremely well as far as the debt service is concerned in good and in bad markets. The next slide has the main financial highlights of our press release, which Paul will present in more details. I would like to just highlight the profitability, the company’s strong financial position and continued cost control and reduction in daily operating expenses with the help of the Company’s technical managers. The next slide has a snapshot of the pro forma fleet of 65 vessels. At the moment, we operate 64 in four market sectors, crude, product, shuttle tankers, and LNG. During the first half of the year, we took delivery of four Aframax tankers, one VLCC, and the Company’s third Suezmax shuttle tanker. We expect one more Aframax tanker to be delivered in the next quarter, also fully financed and fixed on long-term time charter. The last vessel delivery, we complete the Company’s current new building program. The new additions in the fleet are already making an impact to the Company’s financial performance. Slide six lists the clients of TEN, all blue-chip names with whom the Company is doing repeat business over the years, thanks to the quality of service, fleet modernity and the safety record of the enterprise fleet. We have strong, secured coverage with upside potential. Slide seven presents 49 vessels out of the 65 pro forma fleet are fixed under secured revenue contracts with the combination of fix time charters, time charter with profit sharing, and Contract of Afreightment. 34 vessels are market-related charters, including spot, which at the end of the day secures the Company ability to immediately capture the market’s upside. The revenues expected from the fleet with secured employment is expected to cover the Company’s annual obligations. We initiated a strategic relationship with the major U.S. oil company for the employment of crude tankers and we have currently five Suezmax tankers fixed with them for approximately three years and one VLCC for approximately two years, all on profit-sharing arrangement. Next slide shows the volume all-in breakeven of the fleet for the various vessel types that we operate in TEN. As you can see, the cost base is low. In addition to the low shipbuilding cost, we must highlight the purchasing power of our technical managers Tsakos Columbia Shipmanagement and the stringent cost control by management in order to maintain a low OpEx average for the fleet, while keeping a very high fleet utilization quarter-after-quarter. We can call it almost full employment. 75% of the fleet is on secured revenue contracts and these revenues, I expect, as we said, to cover all the Company’s annual obligations. Plus, with those vessels that have the profit sharing arrangements, we can always capture the market’s upside, every time it happens. Since the beginning of September, we have seen life back into the freight market as we gradually move our way from the summer months and approach the winter period which is typically the strongest period of tanker demand. We are also seen charters to continue having a strong appetite to fix vessels forwards for the reason we explained above. In the Company, we expect have a strong fourth quarter. The next slide shows a little bit about the market. Global oil demand continues to grow above the past trend levels. The average oil demand growth since the early 90s has been around 1.1 million barrels per day. The current forecast for oil demand growth in 2017, which has recently been revised -- has recently been revised from 1.3 million barrels per day to 1.6 million barrels per day, a strong growth number, above trend line. We are seeing improving economic conditions in OECD countries. And the low oil price environment continues to support strong demand, especially in the United States, consumer demand in Europe and in China, consumer demand and stockpiling for strategic reserves as well as India. The tanker order book is coming down. We should also note that the big part of the existing tanker fleet is over 15 years. The implementation of new environmental regulations with high compliance scores and charter discrimination against older tonnage could lead to an increase in scraping. Today, we have announced another dividend payment of $0.05 per share to be paid on November 15th to shareholders of record on November 9th. In total since 2002, TEN has paid $10.56 in cash dividends or approximately $453 million and this compares with a listing price in our IPO of $7.50. The average yield since the IPO is 5.25% per annum. That concludes the operational part of our presentation. Paul will walk you through the financial highlights for the first half of the year. Paul?
Paul Durham: Thank you, George. The first half of 2017 started well, but became more challenging as the months passed. Nevertheless, the half year ended with net income of $21 million or $0.13 EPS after preferred dividends. Quarter two was affected by a number of factors, which impacted all the industry, besides reduced seasonal demand, it was hit by high crude inventories, oil supply cuts and excess vessel capacity. Nevertheless, we had a positive bottom-line of $3.6 million in quarter two. The increase in preferred dividends to $6.5 million resulted in an EPS of minus $0.03. Quarter three faces similar challenges, made more difficult by extended refinery maintenance in China. However, we expect a favorable turn in quarter four, as George has mentioned, as refineries come on line again, inventories decline, and winter factors start to generate increased revenue. In quarter two, our vessels on time charter secured a steady cash flow, covering all their fleet costs. The fleet effectively enjoyed full employment in quarter two, despite fixed scheduled dry dockings. However, those vessels on spot in quarter two could not achieve the rates secured in the prior year period. Nevertheless, overall rates achieved by the fleet were respectable, given the challenges. For the most part, they were above breakeven with the overall average daily rounded TCE rate at over $19,000 and $20,000 in the six months. TEN’s daily average OpEx per vessel fell 2% to $7,866 due to the efforts of our technical managers. For the six months, average OpEx was 3% down at $7,729. Daily vessel overhead costs plus management fees and G&A, fell to about $1,200 from $1,600 in quarter two 2016 as the fleet grew but fees still remained fixed after five years and office costs fell. Finance costs rose to $15.9 million due to new vessel debt, reduced capitalized interest, higher interest rates and lower swap valuations offset by lower [indiscernible]. Six months finance costs similarly rose. EBITDA amounted to nearly $54 million in quarter two, higher than the prior quarter two, while six-month EBITDA was $115 million, also a higher. Over two vessels generated positive EBITDA in the half year. Overall debt was $1.84 billion at 30th of June and net debt-to-capital was 51%. The net increase in quarter two was $17 million due to the loans with two new Aframaxes offset by scheduled repayments. With only one more Aframax to be delivered in the fourth quarter, only a further $23 million debt will be drawn and $10 million contributed from our own cash. Our balance sheet remains strong. With ample cash with asset values stabilizing and with secure cash flow generated by our time charters, we believe we are in a good position to meet any further challenges and to consider any opportunities that may arise. And now, I’ll return the call to Nikolas.
Nikolas Tsakos: Thank you, Paul, and good morning to all of you. As my colleagues have already reported, the first six months have been a very productive period for TEN. Although, it has been a challenging period for the market as a whole, we used this period to complete or on -- almost complete our new building program. And on top of this, we have extended 22 new contracts with the first-class charters on our vessels, reaching our goal or even exceeding our goal of 75% for long-term utilization for the vessels. And I think, our record in utilization is always steady. If you follow the Company for the last 10 years, we’re always way above 95%, and that also takes that we had 9 or 10 special surveys and dry docks undertaken in the first six months, because we wanted to be ready for the challenges already with our balance but was supposed to be implemented on September the 8th, last Friday. However, with the efforts of the industry, this legislation now has been postponed, at least according to the IMO for two more years. So, that was one of the reasons that the third quarter -- the second and the third quarter has been used for taking advantage of the lower market and taking the six out of service. However, as we came back from the August lull, the market started showing signs of the spot market, signs of significant life. And this way, we’re seeing the rates in all segments Aframaxes and the product carriers in a fashion Suezmaxes and VLCCs. The spot rates have increased and that had -- one of the reasons has been the unfortunate events and the results of the storm season in the United States and storm Harvey. However, also we have seen significant increases in the Mediterranean where we had a tripling in the rates in the last two weeks. So, the sign is that we are getting out of a much slower period and the pulse is back in the market. What is also interesting is we see this across the board; it’s not only -- geographically across the board. So, we can see the Far East market on the spot increasing together with Mediterranean, and of course the U.S. Gulf where a lot of damage has been done and there were quite lot of delays of vessels as they come out of the storm season. So, what we are looking for TEN that we have structured the Company with 75% of the fleet -- more than 75% of the fleet on long-term employments out of -- and 25% of the fleet with profit-sharing arrangement. It means that every $1,000 in increase in the spot market equates to $10 million straight to our bottom-line or $0.12 a share. So, I mean, this is a model we’re working from today’s low spot rates, every $1,000 increase in any of the segments we participate has a very substantial result to our bottom-line. On the other hand, we are also looking what we call the parallel market, the dry cargo market going finally from strength-to-strength. And both markets traditionally have a six-month lag between them. And we have a strong feeling that we are today six months where -- behind where the dry cargo was sometime at the beginning of the year, which was very low. So with that in mind, we are optimistic. We have set the Company to be able to sustain the storms, but also take advantage of the upside. The company is producing significant cash as we are going forward. And so, we’re looking forward to the remainder of the third and the majority of the fourth quarter and going forward, as George said also for 2018 to be a very productive and profitable period. And that’s why the Company continues with our dividend payments and looking very positively to the future. And with that, I would like to open the floor to any questions.
Operator: Thank you very much, sir. [Operator Instructions] The first question is from the line of Noah Parquette from JP Morgan. Please go ahead.
Noah Parquette: Thanks. I just wanted to get us a sense, [indiscernible] with your liquidity situation. In terms of new orders or new vessel deliveries that you would look at, would you consider vessels on spec or are you kind of focused still on this industrial model where you’re going to meet your customers’ needs?
Nikolas Tsakos: I think it is clearly that unless we have a segment of our business which is underrepresented by title ship, we would only look at non-speculative ordering. And I think the market has been damaged significantly by a lot of speculation. And we would not want to be once participating in that. So, I think the short answer is, we will only look at industrial model, as we’ve done in the last 18 months by taking delivery of 15 vessels, all of them with long-term employment.
Noah Parquette: And then, I just have follow-up. Some of your peers suggest, like the recent uptick or this is event from shipyards approaching their best customers with good offers. Have you -- I assume, you’re one of those customers. Have you seen any reduction in that kind of takes of new building orders or is nothing changed there?
Nikolas Tsakos: I think you’re right. When the prices are -- or the price is there, I think you’re always going to your best customers and the situation under pressure. So, they’re approaching a lot of the owners. Some of them for their own internal reasons and for renewing the fleet, they have taken into the challenge of at least a signing LOIs. What we see now there is, we see a lot of letters of intent being signed. But I would believe that, not more than 50% of those letters of intent are going to materialize in order. So, there is not really cost to that much, if you are a good client to sign a couple of letters of intent with options, it could become actually very, very profitable transaction if the market goes your way. So, I think there is a 50% chance that -- well, I believe that 50% of the LOIs we see will not materialize as orders.
Operator: The next question is from Gregory Lewis from Credit Suisse. Please go ahead.
Gregory Lewis: Could you talk a little bit about the strategy? I mean, the Company has done a great job of taking the layer of its new build and putting those vessels on long-term contract. And you kind of alluded to the fact that you’re looking, focused more on the industrial side of shipping. As we think about it in the go forward, in the near and the medium-term, is there something where Tsakos is actually out in the market looking to really drive incremental industrial type projects at the Company or are we at a point now as we’re looking ahead to 2018 and maybe even 2019, the Company is just in kind of a cash harvest mode?
Nikolas Tsakos: Well, I think clearly, we are being approached by first-class clients that would like to I think continue business long-term. So, we are looking at these transactions. Our whole objective has been to be able to secure, I would say, our base, as you call it in the United States, we secure our base by having the two thirds of the fleet, plus the profit sharing paying for all the expenses and then the 25% remaining together with the profit shares paying for our dividend and our shareholders reward. So, as long as the projects, but fleet with this philosophy are coming out, we are looking at them. So, we will be spending some of our cash in the next six months for similar projects, if they appear.
Gregory Lewis: Okay, great. And then, just one more for me. You mentioned obviously issues that have impacted the Gulf of Mexico. But, just if we move a little bit west from there into Mexico and the earthquake, clearly they’ve had some refining issues. You guys have that business where you’re actually trading on that side of the North America. What has been the impact over there, what’s going - any sort of color, insight you can provide into that market in and out of Mexico along that?
Nikolas Tsakos: Yes. I think that’s a very valid point. Because I think firstly we have to say as an industry, and [indiscernible] in this case, is that there were thousands, not only of tankers but there were couple of hundred tankers and thousands of ships in that area. And we were able -- with the correct warnings and the correct navigational skills, to avoid any catastrophe on any of the tankers or other vessels. So, I think this speaks a lot from all the operational capacity of the industry. It’s not easy. As you know land mass is much smaller part, the sea mass is a bigger part that was affected at that period. So, I think this is important that there were not any casualties and we were all -- spent day and night in our operating departments, making sure that we will be able to sleep even few hours at night. So that is the one thing. Of course disruptions have happened in a lot of our ships that are contracts there, and that’s the silver lining of the this market, have enjoyed quite hefty damages [ph] because they were not able -- because of the problems of the refineries and the portion, they were not able to -- had to wait on [indiscernible] which I think it will be positively portrayed in our third quarter results. And the disruptions now have increased the market, increased very sharply. This week is normalizing but it’s still very strong. So, yes, it affected the rates and I would say it will take a couple of months to bring the market back to where it was.
Gregory Lewis: Okay, great. Hey, thank you very much for the time, gentlemen. And have a nice weekend.
Nikolas Tsakos: Thank you. Same to you.
Operator: Thank you very much, Mr. Lewis. The next question is from Jon Chappell from Evercore. Please go ahead.
Jon Chappell: Just following up to both, Noah and Greg’s questions regarding both, strategy and speculative orders. I read in the presentation earlier this week, I think Paul had made some comments about potentially increasing your share in the LNG market. Now, the LNG market seems to be shifting a little bit more to spot from long-term time charter and the 15 plus year charters of yesteryear seem to be gone. How do you think about how you would approach that market? Two ships today, obviously far short of scale, those haven’t worked out fantastically. If you were to get an LNG, would it have to be on the back of a charter or is this kind of a bigger theme that you think that gas is going to continue to take market share from oil, and you need to be diversified with your fleet?
Nikolas Tsakos: Thank you. Well, I think Paul is going to have to answer this, but from my side, we will not change the industrial model of building ships against contracts because of the LNG. So, we will not be doing a speculative ordering on the LNGs. But, there is enough business out there and it’s creeping out. I mean, it’s not the wave of business that we see in the tankers, but there is long-term business creeping out, and we will be looking at it. As far as our two ships, I think the first vessel [indiscernible] worked for eight years after she was built on a very long -- very profitable charter. She has then become floating storage unit. Again, she is turbine [ph] ship and I think she has been a very successful and cash cow the Company. Our recent acquisition of the Maria has also gone on a four year time charter with options to one of the major companies, not at the level we were envisioning when we ordered her, but getting there. So, I would say that we are not totally disappointment -- disappointed from our LNG participation. I think the Neo Energy has been the most profitable ship in the history of TEN so far and hopefully, the new vessel will also be as profitable going forward. But, Paul...
Paul Durham: My comments were made in context of a question that if oil demand peaks in 10 years’ time, what action are we prepared to take now? And my response was, we’re not going to take any action now but clearly a positive response to oil demand peaking is for us to diversify further, and we’ve already put one step in that direction with our two LNG carriers. And I mentioned that look, who knows, within a year or two, we may well have six pro form LNGs, i.e. including orders; it’s something we will not rule out and we are looking into.
Jon Chappell: Yes. I think that’s what’s done and that’s why I asked at the end, if it was kind of longer term diversification and not surprising that the media took that out of context. So, thanks for that clarification. Paul, since I have you, now with the CapEx basically de minimis, 10 million more of cash by the end of the year and a pretty heavy debt load, can you just remind us what the debt amortization schedule looks like? And then, also Nikolas has mentioned pretty strong cash flow to fleet. Will the primary use of cash in the foreseeable future be used to delever the balance sheet?
Paul Durham: It will play an important role, yes. If we assume that our balloons which are coming up, are going to be refinanced, then ordinary scheduled repayments, amount to about $100 million in the remaining part of this year, about $170 million in 2018 and $140 million in 2019, and then start to come down faster to about 220. But bear in mind that we do have major refinancings to do over the next couple of years. So, the actual real pattern hasn’t been clearly defined yet, over the next few years.
Jon Chappell: And then, just a quick follow to that…
Nikolas Tsakos: The refinancings are going through.
Paul Durham: The refinancing are happening. Yes.
Jon Chappell: Right. And then, I just want to ask about that too. We’ve heard a lot of commentary about difficult financing in the industry. Certainly, it hasn’t seemed to stop a lot of players from ordering VLCCs. Is it a two-tiered market right now where given, one, your history in relationships in the industry; and two, the charter coverage and visible cash flows from your fleet that your conversations with the banks are no different than they were, maybe more five years ago?
Nikolas Tsakos: I would say that now they are better than four, five years ago and cheaper, because actually remember four, five years ago, we were just getting out of the crisis, of the Lehman crisis. And that’s when the bumps were really much more, I would say, closed for business. I would say, it’s a three-tier market. So, you have companies like ourselves that I think the real big competition of -- and very attracting terms for doing business; you have owners, but there is some lending available for them, but at a very high costs; and then of course you have clients that -- other owners that cannot, so I would say it’s a three-tier system. So, you have the competitively expensive and the -- not happening sort of thing.
Operator: Your next question today is from the line of Ben Nolan from Stifel. Please go ahead.
Ben Nolan: So, I had a question for you Nick that in response to Noah’s question, you said that one of the areas that you might would focus on are things that are underrepresented in the current fleet obviously with only two LNG, and you guys have already talked a little bit about having interest and expanding. But, what else would you categorize as underrepresented in your fleet as it stands today?
Nikolas Tsakos: Well, as it stands today and if you look at our fleet list, I think LNGs, you are very correct, shuttle tankers and VLCCs vis-à-vis, the three have been -- I think we have -- I would say very well represented so far on the other categories of ships, so which are the Suezmaxes, the Aframaxes and Panamax from the products. However, we are looking, I think as was put in the press release, we’re looking to divest some of our fist generation vessels. So, I think, we have -- our oldest vessel, which is VLCC, the Millennium, I think this is one of the ships that we are looking to divest, since coming to the end of your -- or time span before special surveys. But we will further reduce our VLCCs. So that’s something we are looking and we are discussing with our charters.
Ben Nolan: And then, sort of related to Greg’s question, although, I guess on the other side of the Gulf of Mexico. It sounds like now the port of Corpus Christi is going to be dredging to enable VLCC to call on there. Obviously, the Gulf Coast has historically been a very prime trading area for Aframaxes in particular, but also Suezmaxes. Are you seeing any changes sort of in the strategic landscape for sort of what ships make sense in various places and is there any main more larger scale going on that impacts what people may be thinking?
Nikolas Tsakos: Infrastructure projects unfortunately take quite some time to finally be completed. But, I think it is a positive thing in a sense. But although right now, there are a lot of VLCCs and there are lot of lightering going on, and of course lightering is something that we support because it takes tonnage out of the market mainly on the Aframax side. We cannot turn a blind eye to the United States that is really increasing its exports. And I think one of the reasons to allow VLCCs in the United States on land [ph] really I mean, alongside rather than through a lightering process, it is a positive thing and it shows that the United States is going to be a major exporter and started with a million [ph] barrels now a day and it’s going to become a much more powerful exporter, which is very, very good for the long-term business. We look at it as a positive sign, going forward.
Ben Nolan: Okay. And no specific opinions as to sort of the types of ships that might benefit versus those that would not?
Nikolas Tsakos: Well, as I said, you have -- VLCCs are the ones that will benefit because you never had really VLLCs pulling alongside in the United States, I mean, the SBMs [ph] or lightering service. So if you are able get VLCCs in Corpus Christy, and hope we’re alive and well to see this happen, it will be really a very positive development for the VLCCs.
Ben Nolan: Okay perfect. All right. That does it for me. I appreciate it.
Nikolas Tsakos: Thank you.
Operator: Thank you very much. [Operator Instructions] The next one is from Fotis Giannakoulis from Morgan Stanley. Please go ahead.
Fotis Giannakoulis: Nick, you made an interesting comment about the fact that the dry bulk market and the tanker market, they moved close to each other with the time lag of around six months. Can you substantiate that and how does this work? And also, if you can give us your outlook about the supply-demand balance for the crude tanker market, we see around 98 VLCCs on order? How many of them -- how many VLCCs you think that will be scraped the next three years? And what is going to be the change in the oil flows?
Nikolas Tsakos: Well, as I said, it is, if you look at it -- you are the analyst, so I think you should do help us with this. But, if you look, there has always been a rule of thumb with the dry cargo market because it’s [indiscernible] infrastructure are good, is the one that starts first. And then, the energy market, in order to put all these things to work, follows with the lag of six to nine months. And I think, we have seen this in the past. And we hope that this is the case. If you remember, just back in December or December to March last year, we have seen the lowest dry cargo market for a very, very, very long time, both in values, and then in the -- after March and April, the market started going from strength-to-strength, it has more pick up, the number [ph] the dry cargo market and it’s going back from strength-to-strength as we speak. So, we believe that we could be in the similar scenario with the tankers. As you rightly said, the truth [ph] of the market is that right now on the VLCC side, a lot of people beat [ph] the bullet and they got well excited by ordering significant amount of vessels. However, we are seeing these vessels -- we are seeing these vessels getting delivered, and that’s why we’re seeing a weak market today. I think we still have close to 15 VLCCs to absorb within this year and then we have another 50 for 2018, and I think much less in 2019. So, it is getting -- it is being normalize. And we have a significant amount, I would say, of vessels -- close to 150 -- 150 VLCCs have been -- are the ones that are approaching the 15 years or will be 15 years, I would say. So, there is heavy order book. But in today’s market, lot of owners including ourselves cannot trade the older -- it’s not economical to trade six -- ships [ph] that are going to be 20 years. No one [indiscernible] will pass a special survey for 20-year old ship today, VLCC I mean.
Fotis Giannakoulis: Thank you, Nick. How important it is for the health of the tanker market, the return of the OPEC production? [Ph] All these owners, they have been ordering speculatively VLCCs, and I’m not talking about obviously about your company, have they be counting on the return of the OPEC production next year, is this an important factor for the market for 2018?
Nikolas Tsakos: Yes. I think that is, that was -- this is an important factor, you are very correct. I mean, as you have seen that crude surplus globally has shrunk significantly because of the output cost. And growth forecast has been raised for 1.5 to 1.6 barrels [ph] a day, which is not -- it is something. So, we expect to have some loosening on that side and more cargos to be in the market. But I think that will take another at least six months.
Fotis Giannakoulis: Thank you, Nick. One more question about the shuttle tanker market. How do you view the opportunities there? We saw Teekay ordering some LNG fueled shuttle tankers very recently. Are there lot of opportunities for additional new buildings with long-term contracts? And what is the competition out there? How many players they can compete for these projects?
Nikolas P. Tsakos: I think it is market for -- for companies that have put the efforts and the investment into human resources and still -- we are one of these companies. And I think there are a handful of companies that are doing the same business. It is operationally a very difficult business. I mean it has cost us a significant amount of money just to bring up the crew, the crews for this trade. And when the business is -- usually it is an attractive long-term business, but it is a high risk operational wise.
Fotis Giannakoulis: Are we talking for a couple of vessels in the next couple of years or 10 vessels? So, do you have any sense of how big this opportunity is in this market?
Nikolas Tsakos: We -- as a company, we’re looking for a couple of those ships, and yes, in the next couple of years.
Fotis Giannakoulis: And for the entire market, how many ships do you think that, how many of these kind of projects they are going to be required or there will be tenders?
Nikolas Tsakos: The tender is a low process, usually. But, I believe that there will be at least one dozen ships for this type of project?
Operator: [Operator Instructions] The next question is from the line of Magnus Fyhr from Seaport Global. Please go ahead.
Magnus Fyhr: Just one follow-up question on the LNG, a lot focus there. You mentioned that you would not do any speculative new building. Can you kind of elaborate a little bit, what you define as speculative and what returns would you require for long-term contracts?
Nikolas Tsakos: You want us to give all our secrets out. This is -- well, speculative is…
Magnus Fyhr: You are public company now, Nick.
Nikolas Tsakos: I mean, what we’ve done with our LNG so far has been speculative ordering, which means that when we ordered our first LNG back in 2004 and we were own one of the few companies at the time and we felt it is a market that we have to have in and we ordered the vessel on the way we charter [ph] out as I said to, for many, many years. The same happened with our newest acquisition. Our technology changes, we again, felt that we cannot be left behind, and we were under the youngest technology, the best design of ship, again without employment. Now, I think with technology having stabilized, we will be looking to repeat our others, but again a specific project.
Magnus Fyhr: And I mean, there is definitely competition for some of these projects, I mean you have more traditional players out there; they’re focusing entirely on the LNG. I mean, could you make the numbers work maybe at a rate that’s a little bit below, and what kind of leverage would you be comfortable with? When I say the low, kind of 75,000 to 85,000 rate.
Nikolas Tsakos: Yes, for sure. I mean, we never use all the leverages, all the leverages that we offer, because we like to keep our leverage, as Paul said around 51% for this year -- this quarter. So, we would not like to over extend the leverage. But some of these projects are the company’s could leverage [ph] 80%, this is not our strategy.
Magnus Fyhr: And I mean, in the past, you mentioned that you like to have about five ships by 2020. I know you probably [ph] pretty soon, if you’re going to be there. What’s your current view with the market maybe a little bit slower to recover than we had expected?
Nikolas Tsakos: The LNG market is -- we are always cashing it, and it was positive turnaround 2010, ‘11, ‘12, ‘13 and now it’s -- it used to be 2018. I think now there is some hope that 2018 will be stabilizing year for the LNGs. So, I think 2020, it looks to be now the next milestone year for the market to turn.
Operator: Thank you very much. [Operator Instructions] We have a question from the line of James Jang from Maxim Group. Please go ahead.
James Jang: Hey, good afternoon, guys. I just have two quick ones. One is, if you view the market to start an upturn and I guess tail end of 2018 going into 2019, would you look at any distressed assets without charters, just take advantage of the arbitrage in pricing right now?
Nikolas Tsakos: Which market are you referring to?
James Jang: Crude tanker market.
Nikolas Tsakos: We went all the way to LNGs for a long time. It’s good to move back to crude. Thanks. Yes, I think as long as ships are in the water, as long as the ships are in the water, this is something that we are continuously looking for. But for ships that are in the water or -- will not add more overcapacity.
James Jang: The announcement with -- the strategic alliance with the U.S. oil major, is there any further opportunity there to I guess charter in other types of vessels besides crude like on the handys, suez or any other product tankers?
Nikolas Tsakos: The answer is yes. There are a lot of opportunities with not the same companies but similar companies or other strategic alliances also on other types of ships, as you mentioned. There is a lot of this going around for the owners that have the appetite for long-term employment of course.
James Jang: Okay. And so, I mean where would you be comfortable in terms of charter cover? Do you want to maintain this type of similar level or are you looking to kind of having more cover to just get through -- schedule to get through the volatility on rates that we’re going to probably see until 2018, 2019.
Nikolas Tsakos: Now, I have to turn to our Chairman here.
Takis Arapoglou: It’s no rocket science. I guess, it’s case-by-case. It depends on the opportunity on the needs of the customer, on the vessels that are available. So, there is now hard and fast rule on what you’re going to do.
Nikolas Tsakos: I think we have approached. I mean, we have surpassed our goal that was always 75%. But, if you have clients that are there to provide good look at the business…
Takis Arapoglou: Case-by-case.
Nikolas Tsakos: Case-by-case, so I think, as Chairman said, this is -- go to the Board, they’re not going to stop us because we have surpassed our 75%. And as long as long we keep this profit-sharing arrangement that allows us to participate on the upside, I think we’re satisfied with that.
Operator: Thank you very much Mr. Jang. There are no further questions. I’ll hand the call back to you, sir.
Nikolas Tsakos: Well, thank you very much for your interest in our company. As I said, it has been a very exciting year so far by completing this Herculean task of taking delivery and chartering long-term and the competitively financing 15 vessels, 14 vessels, one more to go in the fourth quarter. And we hope that 2018 -- well, the remaining of this year, but again 2018, the Company will be at where exactly we have planned to be fully operational with 100% of the new vessels into water and we’ll significantly increase our returns. In the meantime, we will be -- we have ships held for sale, our older vessels and we will be also renewing the fleet by selling some old -- those vessels and our aim is to sell our older vessels from now up to the end of the year. So, we can start afresh as we go forward. So, this is where we are. And thank you very much, and looking forward to see you in New York in the beginning of October when the Company will be doing a road show.
Operator: Thank you very much, sir. That does conclude the conference for today. You may now all disconnect your line.